Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TMX Group Ltd. Q2 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Ms. Julie Park, Manager, Investor Relations. Please go ahead.
Julie Park: Thank you, operator, and good morning, everyone. Thank you for joining us this morning for the second quarter 2020 conference call for TMX Group. As you know, we announced our results late yesterday and a copy of our press release is available on tmx.com under Investor Relations. This morning we are once again joining virtually and have with us, John McKenzie, our Interim Chief Executive Officer and Chief Financial Officer and Paul Malcolmson, Managing Director of Investor Relations. Following opening remarks, we will have a question-and-answer session. Before we begin, I want to remind you that certain statements made on today’s call may be considered forward-looking. I refer you to the risk factors contained in our press release and reports that we have filed with regulatory authorities. And with that, I will turn the call over to John.
John McKenzie: Well, thank you, Julie, and good morning, everyone, and thanks for dialing into the call today. So we're here this morning to discuss TMX Group's financial performance for the second quarter and for the first six months of 2020. But before we, do I want to start and talk about some of the business impacts of the ongoing COVID-19 pandemic. I'd like to first acknowledge the importance of the immediate and sustained day-to-day challenges faced by people across Canada and all over the world, working to cope with this unprecedented crisis. To everyone listening in today and on behalf of all of us at TMX, we hope you and your families are staying healthy and safe. Now across the markets TMX serves and in particular equity markets, the first quarter of 2020 was marked by severe turbulence and volatility. TMX's number one priority at all times is to ensure we provide crucial continuity to stakeholders across our core operations and fulfill our role in keeping cannabis markets running. With the help of our partners across the industry and the dedicated efforts of our employees, we were able to successfully navigate the sudden and dramatic shift to a remote working environment. And as the second quarter moved along, and the realities of the new normal set in, TMX took important steps across our enterprise to adapt key processes, while also striving to keep our priority initiatives on track. And despite the abrupt shift to the new virtual reality, teams in all of our business areas have worked hard to stay closely connected to our clients in order to help them adapt and overcome near-term obstacles. And the vision of our client-facing teams extends beyond seeking temporary or pass work solutions during COVID-19. In fact, the rapid response to solving day-to-day challenges in 2020 has helped to inform and accelerate TMX's digital transformation and will ultimately enable us to better serve our markets long into the future. In a few minutes, I will update you on some of the key elements of our growth strategy and get into more detail on some of the initiatives that we have well underway and on the near-term horizon all aimed at modernizing and enhancing our products and services. But first let's review TMX's first half performance. Paul will join the call in a few minutes to walk you through the details and you will see as clearly as in any other period in our history, the second quarter and the first six months of 2020 reflect the resiliency of TMX's balanced business model and have proven ability to deliver positive results in the midst of market uncertainty. Revenue in the first half of the year was $438 million, up 7% from 2019, driven by higher revenue from equities and fixed income trading and clearing as well as Trayport and our Derivatives business. While daily uncertainty and volatility dominated news headlines early in 2020, market activity and particularly equity volumes remain the consistent story for TMX throughout a robust first half of the year. Across all our equity venues, trading volumes were up 39% through June 30, compared to the same period last year, including a 48% increase in volumes traded on Toronto Stock Exchange, a 59% increase in TSX Alpha volumes and in another very encouraging sign trading volumes on the TSX Venture Exchange were up 14% in the first half of 2020. In Equities trading, while activities surge in the first half of the year, we continued our efforts to enhance our value proposition to ensure we remain competitive on the global stage. Last month we introduced our TSX Market on Close or MOC Modernization Proposal. TSX MOC is the definitive source for equity closing pricing in Canada and serves to set industry benchmarks for mutual fund calculations, portfolio and index balancing and index related securities. The new and improved MOC facility is a result of more than a 1.5 years of work by our equities trading team working in close consultation with a wide range of participants across our client community. The proposed changes to the existing model includes features designed to increase liquidity and participation at the close of the market and align TSX MOC with global peers. The proposal is now out and will likely be published for industry comments by Q4 of this year. Now turning now to Trayport. Revenue including VisoTech was up 13% in sterling and Canadian dollar terms over the first half of 2019 with a 7% increase in average trader subscribers and a 6% increase in average total subscribers. Following on the prevailing theme in our domestic markets in 2020, market volatility drove higher activity in both the European power and gas markets, volume through June 30, 2020, for power and gas products were up 24% and 20% respectively. Volumes were also strong in the benchmark European and Asian LNG contracts. Dutch Title Transfer Facility volumes increased 35% in the first half of 2020 compared with the first half of 2019 and OTC cleared volumes in the Japan, Korea Marker reached record levels. Algorithmic power trading in Europe intraday markets continue to gain momentum as well through the first six months of the year. Intraday volumes on the EPEX Spot grew 23% compared to the same period in 2019. I want to turn now to an update on our progress on serving the needs of the evolving environmental, social and governance or ESG landscape. As you will recall, our exchanges launched ESG 101 in the first quarter, a centralized resource to help TSX and TSX Venture issuers understand the fundamentals of ESG reporting. And in May, we published the inaugural TMX group ESG report. In July of this year, TMX Datalinx announced the expansion of our suite of ESG indices to better enable clients to gain exposure to ESG investments and manage associated risks. On July 27, 2020 in collaboration with S&P, we launched three new ESG indices, including indices tracking the performance of the constituent companies of the S&P/TSX 60 and the S&P/TSX Composite, taking to account each company's ESG scores. Sustainable investing continues to gain momentum in the marketplace and as investors of all types adopt new and increasingly sophisticated strategies, TMX will continue to evolve our approach to serve their needs. Now in our Derivatives business. Overall revenues were up 6% in the first six months of 2020, driven by an 8% increase in revenue from the Montreal Exchange and CDCC. And while MX volumes were 13% higher in the first half of the year compared to 2019, the prolonged low interest rate environment had a negative impact on MX volumes and revenues in the second quarter. Looking ahead our derivatives team delivered an important new product to market in the second quarter a significant accomplishment in today's operating environment. CORRA Futures launched on June 15, a new three-month futures contract based on the new benchmark Canadian Overnight Repo Rate Average administered by the Bank of Canada. A key objective of our team now is to build liquidity and support the growth of the product and help to establish CORRA as a key Canadian interest rate benchmark. In Capital Formation, high volatility during the first half of the year presented less than ideal conditions for companies to raise capital. And as a result the number of large additional financing transactions by existing issuers decreased compared to the first six months of 2019 and contributed to a 7% decrease in overall Capital Formation revenue. But I think it's important to acknowledge the fact that even during unprecedented circumstances of a modern global pandemic, the entrepreneurial spirit continues to endure. We saw encouraging signs in the overall financing stats with an increase in the number of total transactions and dollars raised on TSX and TSX Venture. And last month, we were proud to welcome Dye & Durham, a leading Canadian technology firm to Toronto Stock Exchange via successful initial public offering. The value of a TSX or TSX Venture listing provides to companies at all stages of maturity goes far beyond the amount of capital raised during an IPO or any other additional transaction. Our exchanges and really our entire organization will support each phase of a public company's journey. Throughout this year, we have pursued various issuer support initiatives and spearheaded a sustained advocacy campaign to help our listed issuers and companies navigate this current crisis.  In May, we were proud to usher in a new era in a long-standing TSX tradition by launching our first ever virtual market open. For 20 years the Toronto Stock Exchange market open ceremony has welcomed guests primarily listed issuers to our headquarters to open the market in celebration of corporate milestones and in recognition of some of this country's most significant business achievements. Perhaps even more so in challenging times, we feel that it is vital to provide a platform to showcase the great companies that fuel our country's economy and to shine a brighter light on the resiliency and strength of Canada's markets. And our Capital Formation team continues to seek out ways to better serve our existing issuers and enhance the value of a TSX and TSX Venture listing. On the near-term horizon we are planning to launch a centralized web-based platform to enable listers -- listed issuers to more efficiently interact with our exchange staff. More details to come later in the third quarter. Now along with the release of our Q2 results last night, we announced a 6% increase in TMX's quarterly dividend from $0.66 to $0.70 per common share. This is our third dividend increase in the past 18 months and stands as a clear indication of our ability to generate value for clients and shareholders alike throughout challenging market conditions. Our payout ratio remains aligned with that of our global peers. And we remain confident that our continued commitment to executing our growth strategy will help to position us for long-term success into the future. In closing, I want to acknowledge the exemplary efforts of TMX employees. The collaborative spirit and relentless dedication of our people to solving challenges for clients across our various business continues to fuel TMX's success. And I can say it definitively, more and more our people are invested in our success. In fact, following the latest enhancements to our employee share purchase plan in Q2, we have reached a new high with an 81% overall participation rate including 88% in North America and we remain excited about the opportunities in front of us. We feel strongly that TMX's ability to adapt and evolve our approach to serving companies investors during the COVID-19 pandemic will help to push the evolution of Canada's capital markets and enhance our standing among global markets as we emerge from this crisis. With that I will turn the call over to Paul who will provide you additional details on our second quarter results. Thank you.
Paul Malcolmson: Thank you, John. Before commenting on the results, I want to first say that I hope all of you and all of your families are keeping well through this unprecedented time in our lives. Now looking at our results. Revenues were up 4% from Q2 of last year. This was driven by a significant increase in Equities and Fixed Income Trading and Clearing revenue as well as by higher Global Solutions Insights and Analytics or GSIA revenue. The increased growth was somewhat offset by a decrease in Capital Formation and Derivatives Trading and Clearing revenues. Operating expenses were up 12% or $13.1 million over Q2 of 2019 almost entirely driven by net litigation settlement costs of $12.4 million. EBITDA margin was 54%. Excluding this one item our operating expenses were up less than 1% and our adjusted EBITDA margin for the second quarter reached 60%. Diluted earnings per share were $1.19 this past quarter down from $1.37 last year with the largest factor driving the $0.18 decline being the net litigation settlement cost of $0.16 per share. Our adjusted diluted EPS excluding the net litigation settlement cost and amortization of acquired intangibles was $1.52 up 5% over last year. Looking at revenue the continued high market volatility during Q2 drove substantially higher Equities Trading and Clearing volumes. The average VIX was over 34 in Q2 of 2020 comparing with 15 in Q2 of last year. In Equities and Fixed Income Trading there was a 36% increase in revenue in Q2 compared with last year driven by a 56% increase in volumes across all of our exchanges. The impact from the higher volumes was somewhat offset by a less favorable product mix in Q2 of 2020 compared with last year. There was significantly higher trading in the Market on Close facility where we do have fee caps. And therefore our capture rate on MOC trades was less than in Q2 of 2019. There was also an increase in fixed income trading revenue reflecting higher activity in swaps and government of Canada bonds. CDS revenue increased by 8% from Q2 of 2019. Recoverable costs of $1.9 million related to CDS's clearing operation netted in Q2 of 2019 were included in both CDS revenue and SG&A expenses in Q2 of 2020. In addition there were higher international revenues and higher clearing and settlement revenues due to the higher volumes in Q2 of 2020 compared with Q2 of 2019. These increases in revenue were partially offset by higher rebates. Revenue in our GSIA segment was up 7% over 2019 with increases from both Trayport and our traditional data business. Revenue from Trayport excluding VisoTech was up 11% in both Canadian dollars and sterling. Excluding VisoTech revenue was up 9% in both currencies. This was driven by a 3% increase in trader subscribers and a 4% increase in total subscribers. We also saw the full quarter impact from an enterprise deal that was signed in Q1 of this year. Revenue from our traditional data business increased by 5% from 2019 to Q2 of 2020 with higher revenues related to subscriptions, usage-based quotes as well as co-location, partially offset by lower revenues related to under-reported usage of real-time quotes in prior periods. The higher revenue includes the favorable impact from a weaker Canadian dollar relative to the U.S. dollar in Q2 of '20 compared with last year. The average number of professional market data subscriptions for TSX and TSX Venture products was up 2% in Q2 of 2020 compared with last year. For the Montreal exchange, subs were down 1% Overall, revenue from GSIA excluding VisoTech was up 6% in Q2 of 2020 compared with last year. Derivatives Trading and Clearing revenue declined from Q2 2019 to Q2 2020 by 11%, largely driven by the 9% decrease in revenue from the Montreal Exchange and CDCC. This decrease in revenue was primarily due to lower revenue per contract attributable to an unfavorable product mix. On MX, there was a significant decline in trading in the BAX and in the 10-year Government of Canada bond or the CGB Futures contracts, which have higher capture rates than products such as share of futures. In Q2 2020, volumes on the BAX were down by 42% year-over-year and the CGB was down 15%, whereas trading and share futures increased by 519%. Overall, there was a 1% decrease in volumes on MX. In addition, there was a decrease of approximately $1 million in revenue from Q2 of 2019 to 2020 relating to agreements to provide transitional services to BOX. This ended on June 30 of this year. Turning to Capital Formation. The trend we saw in 2019 and in Q1 around additional listing fee revenue continued in Q2. This was the largest factor driving the decrease in Capital Formation revenue by $4.5 million or 9% compared with last year. The number of transactions billed at the maximum listing fee of $250,000 on TSX declined from 40% to 29% -- or by 28% from last year. There was also a slight decline in additional listing fee revenue on TSX Venture from Q2 2019 to Q2 2020. The other driver in the decline of Capital Formation revenue was the reduced revenue from other issuer services of $2.2 million, or 24% compared to 2019. This reflects the lower margin income from TSX Trust. There is also a decrease in recoverable revenue as some issuers postponed their annual general meetings. As I mentioned, operating expenses were up $13.1 million or 12% from Q2 of 2019, almost entirely due to the net litigation settlement cost of $12.4 million included within SG&A expenses. There was also an increase in recoverable costs related to CDS. As I mentioned, recoverable costs of $1.9 million related to CDS's clearing operation netted last year were included in SG&A expenses in Q2. In addition, there were higher employee performance incentive costs, increased IT professional service costs, higher costs relating to managing our business during the COVID-19 pandemic as well as increased bad debt expense. The increases were somewhat offset by a decline in travel and entertainment expenses and consulting fees. In addition, there were strategic realignment expenses of $1.3 million in Q2 of 2019 with no similar costs in Q2 of 2020. Looking at our results on a sequential basis, revenue was down 1% from Q1 of 2020, largely attributable to decreases in revenue from Derivatives Trading and Clearing, CDS, Trayport as well as other revenue. This was largely offset by increases in Capital Formation, Equities and Fixed Income Trading and our traditional data business. Operating expenses in Q2 of 2020 were up $10 million or 9% from Q1 of 2020. Again, the increase was largely related to net litigation settlement costs. There were also higher short-term employee performance incentive plan, recruitment and COVID-19 pandemic related costs, which were offset by lower salary and benefit costs, and reduced travel and entertainment expenses. Income from operations decreased from Q1 to Q2 largely due to the lower revenue and the higher operating expenses. Looking at our balance sheet, we reduced our debt by about $63 million from the end of 2019 to June 30. We spend all the $15 million to repurchase 140,000 of our common shares under our normal course issuer bid program through to the end of June. With the continued strong EBITDA in the first half of the year, our debt to adjusted EBITDA ratio was 1.9 times at June 30, down from 2.1 times at the end of 2019. We also held almost $270 million in cash and marketable securities at the end of the quarter, which was $85 million in excess of the $185 million we target to retain for regulatory and credit facility purposes. As John mentioned last evening, our Board declared a dividend of $0.70 per common share payable on September 4 to shareholders of record as of August 21, representing an increase of 6%. At 46% of our adjusted EPS, this is well within our target payout ratio of 40% to 50%. And now, I'd like to turn the call back to Julie.
Julie Park: Thanks, Paul. Operator, could you please outline the process for the Q&A session?
Operator: [Operator Instructions] First question comes from Melinda Roy with Deutsche Bank.
Melinda Roy: Good morning, everyone. Maybe we can start with some questions in the Trayport business. So, we did see a decrease in both trader and non-trader subscribers versus 1Q levels. So, maybe you can comment on the dynamic there and if you've seen a similar trend going into the third quarter. And then if you can give any update on Trayport expansion into the U.S. market with the Nodal Exchange partnership?
Paul Malcolmson: Good morning, Melinda. Thanks. Maybe I can just start off on the subscriber question that you answered. So essentially, when you look at both the traders and the other group, the brokers and exchanges, some of that was really just cleanup with them on some of the subscription that they have into the second quarter. Particularly for the traders, those were on enterprise deals. So, that really wasn't having any significant impact at all on the revenue, because under the enterprise deals or the site licenses, they're paying a fixed amount. Again, with the second group, with the brokers and exchange is also not a significant impact on revenue just because the revenue per sub is significantly lower for that group than it is for the traders. I'm not sure, John, do you want to take the question on Nodal?
John McKenzie: Yeah. And before we get to that, I'll leave it at it. In terms of kind of as you're looking forward Melinda, the Trayport, even though we've been working through kind of this distributing work environment, with both our team at home and our clients working at home, we've actually been continuing to add new clients. So, what you're not seeing in the results, but you will see as we get into Q3, is even in just in the month of July, we've actually had seven new clients sign up with Trayport. So that, while there is some noise in the number of subscriptions in Q2, I would not take it as an indicator of anything. Now with respect to that question around the U.S. and the Nodal, we are continuing to work with Nodal with our partners there in terms of a rollout strategy. This is an initiative to be the candidate that had been challenged by the COVID environment. And it's been less about getting access to the traders and more about getting the right attention on the independent service vendors that Trayport needs to interact with to bring the solution to the traders. So that's taken more time than we initially anticipated in terms of access to those service providers and what other priorities they have in terms of managing their own business at that time. So, the program is still well underway, but we are not in a position where we can give a go-live date to you today.
Melinda Roy: Okay. Thank you so much for all the color.
Operator: Next question comes from Jeremy Campbell with Barclays.
Jeremy Campbell: Hey, thanks everybody. So one of your -- obviously your primary near to everyday term initiatives has been to build out the rate Derivative curve. Obviously, the outlook for global rates is pretty even for the foreseeable future. Obviously, you had this five-year contract launched last year. John, I know you mentioned you're on CORRA recently. So maybe just looking for some color on how this macro backdrop has one affected your rollout plans of these new rate products? And then two how you envision these newer products gaining traction with clients and volumes within this pretty weak macro rate backdrop?
John McKenzie: Yeah, that's a great question. And I think that when you think about the launch of the CORRA Future and the fact that we were able to do that launch in partnership with the client base, during that rate regime is a bit of a testament to the partnering with the clients in terms of continuing to move product to market. And what we've really focused on with the team, and Luke and his team, in general, is how do we accelerate getting the rest of our yield curve built out. Because even though we're in that low rate environment, there will be different client interest at different points in times in different terms. The short-term rates are really low and the yield curve is very low right now, but that doesn't mean it's going to continue that way in the future. And we want to make sure that we've got the product across the spectrum to serve the different needs. So, continued priority on getting our two-year product out. Some renewed interest from clients around the 30-year, we don't have that in the time table yet, but we may have to relook to where that fits that in. And continuing to push on some of the other products that we build into the Derivatives portfolio, that create a bit more diversity in what we are trading. So, it's -- so the launch of our ESG indices that we've just did in the last month. So, all of those are to complement the product suite. Now the one piece, I will -- I always continue to take solace in is, despite the fact that in that rate environment and that trading of short-term rates has been challenged, you are still seeing continued strength in the amount of open interest in the exchange. So the amount of open contracts in terms of people willing to make markets and that that continues to remain strong I think, we're up near 10% year-over-year. So, still a good indication of the strength of the business going forward.
Paul Malcolmson: And maybe just to add there, if you look at products like the five-year, actually it did very well in the second quarter; the volumes of the five-year were up 18%, which is as you know a relaunched product.
Jeremy Campbell: Great, thanks, guys.
Operator: Next question comes from Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: Yeah, thanks. Good morning.
Paul Malcolmson: Good morning, Jaeme.
Jaeme Gloyn: I wanted to just dive into the GCO revenue numbers in the quarter, which were surprisingly strong. So, good subscriber growth, good usage growth. So, I was hoping you could dive into potentially some of the drivers -- underlying drivers behind that. Is there anything related to a shift to enterprise agreements? And then following that, can you talk about the driver behind the 5% price increase on co-location services and the potential lift we should see from ESG Index products being launched this past month?
Paul Malcolmson: Sure. Maybe Jaeme just to start on the enterprise deals. The ones that we talked about that we had signed last year, I believe there were six of them. They were for the most part -- in fact, they were all on non-pro subscriptions, so not in the numbers you're seeing there. That's generally an annual opportunity for clients. To do that, so you won't see any of the enterprise deals again until, likely later this year on the non-pro side. But it was a -- I would say, it was a mix of things really that drove the Datalinx revenue. There was the increase that we talked about the 2% in the pro subscriptions on TSX and Venture and also that higher usage-based quote, you saw that more retail activity right in the second quarter compared to last year. And co-location was up, as well revenue without factoring in that 5% price increase. So that's something we've been working for in a while. I think as we mentioned that's coming into effect in September of this year.
John McKenzie: Yeah. And then if I can build on in addition to that, we do actually -- in that spirit of the non-pro enterprise deals, we do have some conversations in progress now in terms of some clients. So, we think we'll move into that in the near-term. But, we'll actually be breaking news for Paul, in terms of the look, I see him on my screen. And the second piece is on co-load. In addition to the revenue lift from the pricing piece, I think we talked about this last time that we are working on an expansion of the co-location facility as well in terms of actually a physical expansion, so that we can support a larger book of client business. That work is actually well underway. We'll be able to do that during COVID regardless of those impacts. So, we do expect to get that done within the year. That will allow us to increase the capacity of what we can handle from a call it 20% to 25%. So that gives you an additional lift in that business beyond the pricing as we fill those pieces out and we've got demand for it already. But the other important -- really important piece that it does for us is it really facilitates some of the growth in some of the other parts of the business. So, as we work on Derivatives in terms of selling more Derivatives into the European market and getting more flow from Europe and as we build out the plan for launching in the Asian market in 2021, it's important for us to have capacity in the co-location facility to host those offshore clients that want to put their machines closer to the system. So, it's really going to be an enabler for those programs as well. So, it's got a dual benefit to us once we get it launched.
Paul Malcolmson: And just to add I believe actually there could be one enterprise deal in the third quarter but nothing that would have impacted the second quarter.
Jaeme Gloyn: That's great color. Second question is just around the debt to EBITDA which drifted just below the two or three times target. Obviously, using some of that capital to increase the dividend that should help slow the pace of declines in the debt to EBITDA. But in terms of the strategy for managing that leverage level is it for now just to continue to build a war chest for lack of a better words, to deploy in the potential M&A, or do you have maybe some other avenues where you could see meaningful capital deployment whether its share buyback or other investments?
John McKenzie: Yes, the priority is really the former there Jaeme. We've got an active portfolio of investment opportunities that we're looking at. And really reflecting the fact that given the strength of our business strength of our balance sheet in a market environment that's challenged that we are actually well-positioned to do things. So, we have a number of active files that we're working on. So, that is our priority should those come to fruition. I think you'll also see that within that debt to EBITDA ratio we are carrying actually more excess cash as well than we normally would. And that's actually really a reflection of where -- just from a treasury management standpoint we're doing better in terms of interest return on our cash than what we're even paying on our commercial paper these days. I think our latest round of commercial paper was renewed at about 40 basis points. So, it's extremely cost effective. So, that is the priority right now. Priorities in terms of continued buybacks is we have the facility available but it's not as big a priority is looking for opportunities to invest and expand the business.
Jaeme Gloyn: Thank you.
Operator: Next question comes from Nik Priebe with CIBC Capital Markets.
John McKenzie: Good morning Nik.
Nik Priebe: Yes, thanks. Good morning. I just had a question. I was looking at trading volumes post quarter end so for the month of July. It looks like cash trading volumes remain pretty elevated, but driven volumes seemed a bit low to me. I was wondering if you could give us a little bit of color on what you're seeing there. I don't know if that just pertains to interest rate contracts or if it's more across the board. I was just wondering if you could give some insight on that.
Paul Malcolmson: You're right on that Nik. So, I mean the BAX continue to be down just for exactly the same reasons that we talked to, but I think it was down around 60%. And yet the same thing we saw a lot of strength in the single stock futures. They were up I think almost 150% over July last year. So, the trend is there. There are obviously other initiatives. John mentioned the CORRA Futures contract that's an important one at the short end of the interest rate curve.
Nik Priebe: Okay. Got it. Thank you.
John McKenzie: And I wouldn't want to miss the opportunity Nik to talk about the equity volumes that you're seeing in July at the same time and really draw your attention to. One of the really interesting and exciting lifts that are in the July volume is not just the overall equity volumes but the strength in the venture exchange. So, a real renewed interest a pickup in venture particularly around the strength in the mining issuers. That's also driving a real strong demand that we're seeing on the Capital Formation side in terms of potential future financing. So, it's a real positive sign in what's been a challenging market.
Nik Priebe: Yes, certainly. Okay, thanks very much.
Operator: [Operator Instructions] We have a question from Rajiv Ranjan with TD Securities.
Rajiv Ranjan: Thank you. Good morning.
John McKenzie: Good morning.
Rajiv Ranjan: I had a question on your market share in the domestic equities market. So, it's up 3% to 4% from last year. I was just wondering if you can provide some color as to what's driving that and whether that happens strongly during periods of like heightened volatility.
John McKenzie: Yes, I think there are a couple of factors in there. In terms of heightened volatility that does actually play to the strength of the strong central market. But additionally in there we had substantial pickup also in our dark volumes as well. So, I don't know if you were wrong we talked last time we've made some substantial investments in building out our dark trading facility that we did some relaunch on earlier in the year. We did some competitive pricing in it some strong sales work with the client base and really had that move up the routing tables in terms of the priority that clients put on it. So, you kind of see in the dark market which is about call it 10% of the overall Canadian market, we've gone from last year being about 15% of that component to closer to 30% today. So, a really strong lift and that's part of that share increase that you're seeing in the overall.
Rajiv Ranjan: Okay, makes sense. Thank you. And just a quick question on the market data revenue side so excluding Trayport. So, that was up 5% and you mentioned that this included a favorable impact from a weaker Canadian dollar. I was wondering if you could quantify that for us.
John McKenzie: It would have been less than $1 million probably something in the $600,000, $700,000 range.
Rajiv Ranjan: Okay. That's all the questions I had. Thank you.
John McKenzie: Thank you.
Operator: And at this time I will turn the call over to Ms. Park.
Julie Park: Thank you everyone for listening in today. If you have any further questions, contact information for media as well as for Investor Relations is in our press release and we'd be happy to get back to you. Finally, in closing, we wish you all the best. Be safe, healthy and be safe. Thank you.
Operator: This concludes today's conference call. You may now disconnect.